Operator: Thank you for standing by. And welcome to the Nordson Corporation Fourth Quarter Fiscal Year 2024 call. All lines have been placed on mute to prevent any background noise. After the speakers' remarks, there will be a question and answer session. If you would like to ask a question during this time, simply press star followed by the number one on your telephone pad. If you would like to withdraw your question, again, press star one. Thank you. I would now like to turn the call over to Laura Mahoney, Vice President of Investor Relations and Corporate Communication. You may begin. Thank you.
Lara Mahoney: Good morning. This is Lara Mahoney, Vice President of Investor Relations and Corporate Communications. We welcome you to our conference call today, Thursday, December 12, 2024, to report Nordson's fiscal year 2024 fourth quarter and full year results. I am here with Sundaram Nagarajan, our President and CEO, and Dan Hopgood, Executive Vice President and Chief Financial Officer. You can find both our press release as well as our webcast slide presentation that we will refer to during today's call on our website at nordson.com/investors. This conference call is being broadcast live on our investor website and will be available there for fourteen days. There will be a telephone replay of the conference call available until December 19, 2024. During this conference call, references to non-GAAP financial metrics will be made. A complete reconciliation of these metrics to the most comparable GAAP metric has been provided in the press release issued yesterday. Before we begin, please refer to slide two of our presentation where we note that certain statements regarding our future performance that are made during this call may be forward-looking based upon Nordson's current expectations. These statements may involve a number of risks, uncertainties, and other factors as discussed in the company's filings with the Securities and Exchange Commission that could cause actual results to differ. Moving to today's agenda on slide three. Naga will discuss fourth quarter and full year highlights. He will then turn the call over to Dan to review sales and earnings per and the three business segments. Dan also will talk about the year-end balance sheet and cash flow. Naga will conclude with high-level commentary about our including an update on the Ascend strategy, as well as our fiscal 2025 full year and first quarter guidance. We will then be happy to take your questions. With that, I'll turn to slide four and hand the call over to Naga. Good morning, everyone.
Sundaram Nagarajan: Thank you for joining Nordson's fiscal 2024 fourth quarter and full year conference call. In fiscal 2024, we continue to make progress on our Ascend strategy, delivering record sales of $2.7 billion and record EBITDA dollars of $849 million or 32% of sales. This is a testament to our employees who have, in the last four years, deployed and delivered results with NBSNext, our growth framework, despite dynamic global macro conditions, end market changes, supply chain disruptions, and more. The core elements of our business model have enabled us to deliver profitable growth throughout these challenges. This includes a steadfast focus on our customers, commitment to innovation, diversified geographic and end market exposures, and a high level of recurring revenue through aftermarket parts and consumables. Since launching the Ascent strategy in 2021, we've added new capabilities to our business model including the NDS Next growth framework and a division-led structure which have empowered our teams to respond rapidly to changing market conditions. I will speak more to the enterprise performance in a few moments. But I'll now turn the call over to Dan to provide more detailed perspective on our financial results for the quarter and fiscal year 2024.
Daniel Hopgood: Thank you, Naga, and good morning to everyone. I'll start on slide five, which summarizes our overall results for the fourth quarter. You'll see fourth quarter 2024 sales were $744 million, up 4% compared to the prior year's fourth quarter sales of $719 million. The increase included 6% growth from acquisitions, primarily from the recent Atrium acquisition but also the final weeks of contribution from the AirAg acquisition we completed in the prior year. Currency translation was favorable by 1% and organic sales were down 3% compared to the fourth quarter of the prior year. The organic sales decrease was driven by challenging year-over-year comparisons in our Industrial Precision Solutions segment and year-over-year declines in selected product categories within our Medical and Fluid Solutions segment. These were partially offset by a return to growth in our Advanced Technology Solutions segment, and I'll cover a bit more on each of our segments in a moment. Adjusted operating profit, which excludes $26 million in non-recurring costs related to the Atrion acquisition and one-time restructuring costs during the quarter, was $205 million, up 30 basis points from the prior year on a percentage of sales basis. This was driven by gross margin improvements of about 110 basis points reflecting factory efficiency gains, and a higher mix of parts revenue. Selling, general, and administrative expenses as a percentage of sales increased about 80 basis points year over year, reflecting the addition of Atrion, and continued investment in front-end growth initiatives. All in, this represents a 35% incremental operating margin for the company, which is on the high end of our targeted performance. EBITDA for the fourth quarter increased 6% over the prior year to a record $241 million or 32% of sales. This is 200 basis points above our long-term profitability target as articulated in our Ascend strategy. This also compares to $227 million also at 32% of sales in the prior year fourth quarter. That translates into a 56% incremental EBITDA on our 4% overall sales growth for the quarter. A really strong quarter of both operational execution and the initial integration of the Atrion acquisition.
Sundaram Nagarajan: Looking at non-operating income and
Daniel Hopgood: expenses in the quarter, interest expense in the quarter increased nominally to $27 million. This modest increase is driven by higher net debt levels due to acquisitions compared to the prior year. As a reminder, in September, we accessed the public debt markets raising $600 million in five-year notes at 4.5% in order to finance the Atrion acquisition. The balance of the purchase price was funded with our revolver, which we expect to pay down in the near term. Other expense on a net basis increased $5 million year over year primarily due to currency fluctuations and some reduction in pension income year over year. Tax expense was $26 million for the quarter, an effective tax rate of 17%. Our fourth quarter tax rate reflects changes in our mix of earnings due to acquisitions and other structural changes. It reflects a full-year effective tax rate of 20%. This improved mix is expected to continue going forward and you'll see this reflected in our 2025 guidance that Naga will cover a bit later. GAAP net income totaled $122 million or $2.12 per diluted share, while adjusted earnings per share excluding nonrecurring acquisition and restructuring-related expenses totaled $2.78 per share, a 3% increase over the prior year. Adjusted earnings per share were $0.19 above the midpoint of our guidance for the quarter reflecting equal contributions from strong operating performance during the quarter and the favorable tax rate differential I just mentioned. Now let's turn to slides six through eight to review our fourth quarter segment performance. Industrial Precision Solutions sales of $392 million decreased 3% compared to the prior year fourth quarter. Organically, IPS decreased 5% in the quarter, with the AirAg acquisition adding 1% and currency providing a favorable impact of another 1%. You'll recall that IPS delivered record sales in the fourth quarter of fiscal 2023, driven by record sales in industrial coatings product line, and elevated deliveries in our polymer processing products. These create tough year-over-year comparisons for the segment, and are driving the overall organic decline in the IPS segment for the quarter. For the full year, IPS organic sales were flat with the prior year. EBITDA for the quarter was $143 million or 37% of sales reflecting consistent operational performance on slightly lower sales. Turning to Slide seven, Medical and Fluid Solutions sales of $200 million increased 19% compared to the prior year's fourth quarter. This increase was primarily driven by the Atrion acquisition and a minor currency benefit offset by a decrease in organic sales volume of 3% or $5 million. The organic volume decline reflects some softness in medical interventional solutions product lines, partially offset by modest improvement in our fluid components and fluid dispense product lines. Fourth quarter EBITDA was $72 million or 36% of sales, which is an increase of 17% compared to the prior year EBITDA of $62 million or 37% of sales. EBITDA margins were slightly lower than the prior year due to the inclusion of the acquired Atrion business. You'll recall that we expect Atrion EBITDA margins to improve over time as we continue to integrate the business and implement our MBS Next growth framework. Turning to slide eight, you'll see Advanced Technology Solutions sales of $152 million increased 5% compared to the prior year's fourth quarter. This change included an increase in organic sales volume of 4%, as well as a small currency benefit. Growth in the quarter was driven by improvement in selected test and inspection product lines, as well as modest improvement within our electronics dispense product lines. Our sales in ATS reflect continued sequential improvement from the third quarter and a return to nominal year-over-year growth in this segment for the first time since the first quarter of fiscal 2023. We've seen electronics and semiconductor end markets continue to show signs of stable improvement. Fourth quarter EBITDA was $41 million or 27% of sales, an increase of $6 million from the prior year fourth quarter EBITDA of $35 million or 24% of sales. We're really pleased with the segment's EBITDA performance, particularly in a down cycle as the 27% EBITDA margin performance represents a significant step up from historical performance. It's a testament to the team's efforts to improve the structure of the base business. And it positions us well when the electronics markets return to more meaningful growth. Now turning to slide nine, I'll share a few comments on our full year results. 2024 full year sales were a record $2.7 billion, an increase of 2% compared to the prior year's previous record sales result. This was driven by a 5% impact from acquisitions, offset by an organic decrease of 3%. On a full-year basis, the organic sales decrease is essentially all driven by our Advanced Technology Solutions segment, although we did see orders and sales continue to improve in our ATS product line as we exited 2024. The Industrial Precision Solutions Medical and Fluid Solutions segment were essentially flat organically on a combined basis with industrial up slightly and medical down slightly for the year. Adjusted operating profit was $713 million or 27% of sales, which was comparable to the prior year. EBITDA for the full year increased 4% to a record $849 million or 32% of sales. This represents a full-year incremental EBITDA margin of 49% and it marks the fourth consecutive year of the Ascend strategy delivering solid EBITDA growth. GAAP diluted earnings per share were $8.11 for the year, and adjusted diluted earnings per share were $9 per share, a 1% decrease from the prior year, reflecting the higher interest costs associated with the AirAg and Atrion acquisitions. On balance, we're pleased with how we finished the year despite some near-term weakness in certain end markets. And we remain confident in our five-year targets established at our October 2024 Investor Day. Finally, turning to the balance sheet and cash flow on Slide ten. We had another strong cash flow year generating $492 million in free cash flow at a conversion rate of 105% on net income. While still strong, cash flow conversion was down from 2023, and this was due to higher capital investments and additional use of working capital both of which we expect to normalize going forward. While our debt balance increased in the quarter due to the Atrion position, we continue to deploy cash efficiently. During the quarter, we increased our annual dividend by 15% marking our sixty-first year of consecutive annual increases. On a full-year basis, excluding the impact of the Atrion acquisition, we repaid approximately $315 million of debt, paid out $161 million in dividends, and repurchased $28 million of shares on the open market. Through our strategic capital deployment, we ended the year with a strong balance sheet, with cash balances of $116 million and net debt at $2.1 billion resulting in a leverage ratio of 2.5 times based on trailing twelve months EBITDA. This is within our targeted long-term range, and also in line with our expectations for the year. So in closing, just to summarize, our fourth quarter sales were in line with our previous guidance. And we came in better from an overall profit conversion standpoint. We're very pleased to see our Advanced Technology segment continue to show signs of positive improvement and demands. And our IPS and MFS segments continue to deliver strong operational performance despite some near-term demand weakness in selected product lines. We closed fiscal 2024 with a strong balance sheet, and we've steadily reinvested in the business. Positioning ourselves well for a dynamic 2025. I'll now turn the call back to Naga.
Sundaram Nagarajan: Thank you, Dan. As I reflect on the past four years since we launched our Ascent strategy, we started from a position of strength with many competitive advantages. Leadership position in diversified niche end markets. High recurring parts revenues, a direct-to-customer model, and differentiated products built on deep knowledge of our customers' demanding applications. In the past four years, we have added two new advantages to expand our competitive mode. The first is a renewed emphasis on our growth bias portfolio that has positioned us to accelerate profitable growth. Over time, we have strategically increased our mix of recurring revenue, and we have expanded into the high-growth end markets of medical and electronics. This mix has been strategically driven through organic and acquisitive means. In the short term, end market cycles and unique macro conditions have slowed organic growth in these segments. This increases the importance of balancing organic growth with acquisitions. Our recent Atrium Medical acquisition is a great example of this strategy. This acquisition expands our fluid components addressable market by more than 50%, by adding products and solutions for infusion therapies and drug delivery. It also expands our current offering to top medical device customers and broadens Nordson's exposure to significant single-use consumables with recurring revenue streams. Atrium was a solid contributor to our fourth quarter revenue and it'll be a growth driver in fiscal 2025 and beyond. The second advantage that we have added to note is the NBS Next growth framework. It drives profitable growth and creates value in our acquisitions. I'm very pleased with the implementation of NBS Next which is becoming a competitive advantage. Throughout 2024, I traveled to many of Nordson sites including Europe, China, and India, in October and November. It is clear to me that the NBS Next growth framework is now how we run our businesses. You can see it evidenced in the fourth quarter results of our ATS segment. As Dan noted, ATS achieved 27% EBITDA margins while still in the downside of the electronic cycle, due to its strategic repositioning. They'll be very well positioned to respond to cut when the market turns. At our Investor Day in October, we shared several examples of how NBS Next has driven improved performance in on-time delivery and product quality, allowing the Nordson's divisions to protect and grow market share. I encourage you to listen to the Investor Day webcast recording which is available on our investor website. As we work towards our new financial performance targets, NBS Next and the Ascent strategy have ample runway to enable the Nordson team to be successful in the next five years.
Operator: Also, at our Investor Day,
Sundaram Nagarajan: we announced our 2025 to 2029 performance targets. In 2029, when we look back on our financial results, we expect to leverage the Ascent strategy to deliver average annual growth of 6% to 8% in revenue, balanced between organic and acquisition of growth and 10% to 12% in adjusted EPS growth. As this is an average annual growth target for that period, growth can be higher in some years and lower in others. We are entering 2025 prudently with conservative expectations for many of our end markets. We also recognize the level of change in the global macro environment, which could cause our customers to be judicious in their spending in the near term. In our Industrial Precision Solutions segment, although our current order entry trends are encouraging, we are expecting large capital investments to be muted in the near term, based on customer conversations, and reduced backlog levels. For our large system businesses, particularly polymer processing product lines, reduced investment in areas such as recycling, will be significant headwinds after two record sales years. Additionally, although European agriculture end market seems to have stabilized, we are cautiously awaiting meaningful growth. Within our Medical and Fluid Solutions segment, medical device customer supply chain teams are being far more cautious with their inventory purchase patterns. We currently see this impact in weakness within our interventional solutions product line, which is approximately 47% of this segment's sales. Long-term project pipelines remain solid and we continue to stay close to our customers and ensure we understand their post-COVID supply chain product needs. Modest growth from our fluid components and fluid dispense product lines will somewhat offset this pressure. But we expect MFS growth to largely come from the Atrion acquisition in fiscal 2025. Positively, we expect to see continued steady improvement in sales from our electronics customers. That said, we do not expect that a significant ramp in capital spending is imminent as customer purchasing patterns have been wary compared to prior electronic cycles, particularly in semiconductor applications. We remain close to our customers particularly the geopolitical issues in play. Now turning to the financial outlook. On slide fourteen, we enter fiscal 2025 with approximately $580 million in backlog. The sequential backlog reduction is reflective of a pace return to more normalized levels. Based on the combination of order entry, backlog, current foreign exchange rates, and anticipated end market expectations we anticipate delivering sales in the range of 2% to 7% above fiscal 2024 sales. Full year 2025 adjusted earnings are forecasted to be in the range of neutral to 8% growth per diluted share. For modeling purposes, in fiscal 2025, assume an estimated effective tax rate of 19% to 21%, capital expenditures of approximately $50 to $60 million, and interest expense of up approximately $90 to $100 million. This full-year guidance assumes a negative 1.5% impact from foreign exchange rates, no significant recovery in ramp in electronics or agricultural end markets, and the Atrion acquisition contributing approximately 6% growth at the midpoint of guidance. If we see improvements in our end markets, we will adjust. Based on seasonality, we expect our fiscal first quarter to start modestly.
Daniel Hopgood: As you will see on slide fifteen,
Sundaram Nagarajan: first quarter fiscal 2025 sales are forecasted in the range of $615 to $655 million and adjusted earnings in the range of $1.95 to $2.15 per diluted share. Even in uncertain times, our team delivers operational excellence, and strong cash flow due to our strong competitive advantages. As a growth compounder, we will continue to reinvest in the business while returning cash to our shareholders. Again,
Daniel Hopgood: I want to thank our employees,
Sundaram Nagarajan: customers, and shareholders for your continued support. We will now open the phone lines for questions.
Operator: Thank you. We will now begin the question and answer session. If you would like to withdraw your questions, simply press star one again. Your first question comes from the line of Mike Halloran from Baird. Your line is open.
Mike Halloran: Hey. Good morning, everyone.
Daniel Hopgood: Morning.
Sundaram Nagarajan: Alright. Appreciate all the thoughts at the end there on the outlook and the conservatism in the first quarter and some of the variable order patterns. But you know, maybe you could frame up how you're thinking about growth as it works through the year. It doesn't sound like you're embedding any fundamental improvement. Is the guidance assuming relatively normal seasonality? And maybe just give some thoughts on what your customers are saying or how you see these end markets cadencing as we work through the year.
Sundaram Nagarajan: Mike, thank you for the question. We'll do it this way. Let me first give you what we're seeing in the end markets. And then Dan can walk you through the guidance and how we're thinking, you know, how we've built the outlook. Right? So let's start with the IPS. You know? In IPS, what I would tell you is our consumer non-durable end markets seem to have a steady outlook. And, you know, there are parts that are really good, then there are parts that are steady. Further, recurring revenue in this business is fairly high as you know. And this has grown last year. We expect it to contribute nicely in the year. On the headwinds, what I would share with you is that we are expecting large capital investments to be muted in the near term. You know, based on customer conversations and reduced backlog. Particularly, in the polymer processing product line, we have seen reduced investments, you know, after record two sales record years of two years of sales. And reduce investment in recycling and also some push start investments in virgin polymer in Asia. They're also seeing slowness in automotive. With our ICS business. Our agricultural precision ag business in Europe, things have stabilized, and we're cautiously awaiting the return there. So that's the puts and takes in IPS. If you look at MFS, you know, we do see modest growth in our fluid components business, which is sort of, you know, there is some exposure in biopharma. We're seeing order entry, modest slip up there. Fluid dispense business is also doing fairly steady. So these two businesses will offset the pressure we are seeing in our medical interventional business. In our medical interventional product category, what we are finding out is that the OEM supply chain teams are far more conservative and cautious about their inventory purchases. And hence, we're seeing weakness in this product line. And remind you, this is about 47% of the segment's revenues. Long-term project pipelines look pretty strong for this product category. Addition, Atrium, you know, addressable market increase for our businesses has a very positive development. And the growth in this segment would primarily come from Atrium acquisition. The APS business segment, what you find there is steady improvement and positive order entry to the kind of growth rates you saw in the fourth quarter. We don't our assumptions are there is not a significant ramp in capital spending. Mainly, we see the order patterns in this recovery far more choppier than we have seen in the past. We remain close to our customers. There is a number of geopolitical issues that are at play here and that impacts this business. So that gives you sort of a broad overview of what we are experiencing in the end markets. And maybe let me have Dan walk you through how that plays into our outlook.
Daniel Hopgood: Yeah. Thanks, Naga. And the only thing that I might add just on the market overview is just and maybe this is more of a reminder. You know, on our ag business, while we've seen certainly our book and bill and order rates stabilized, we still have one quarter of tough comparables in Q1 in that business, as you recall, Q1 of last year, we were working off a large backlog in our ag business. So we've seen the underlying business is, like I said, is in a very good stable place but we've got one more tough comparable in Q1 in the ag business due to the backlog work off last year. So that said, Mike, just to give you some color, you know, if you think of the overall market outlook and basically think of, you know, flat organic growth for the year. What I would tell you is the sales profile, if you look at our Q1 guidance in the full year, it's pretty much right in line with the seasonality that we would typically see in the business. You know, Q1 is always our lowest quarter. Typically around 23% of our annual sales. If you look at history, excluding acquisitions. And so I think you'll see that play out in our guidance. The only anomaly that we see this year, and it's not a big contributing factor, but it is a factor, is the timing of Chinese New Year actually hits our first quarter this year whereas it's hit our second quarter the last couple of years. So if anything, that just means Q1 will be slightly weaker than normal because we lose that production in Q1. That would typically hit us in Q2. But other than that, it's pretty much right in line with our seasonality that we've seen historically.
Mike Halloran: Okay. That was really helpful. Thanks for that follow-up. On the Electra side in the fourth quarter, was there anything unusual? I mean, was there just kind of a flush that happened? Because I know we've had some delays that have materialized. Was there just, you know, an element of finally getting some of those projects pushed through? Would you consider that the right run rate? And then related, what are you seeing that gives you confidence that there's some modest improvement coming on the electronic side? I know the capital piece you're cautious on, but any kind of more subtext on where that improvement's coming from on the electronic side even if it is modest.
Daniel Hopgood: Yeah. You know,
Sundaram Nagarajan: look, there are a couple of things that I would point to. First and foremost, we certainly are seeing strong continued conversations with our customers around projects and things that are coming our way. So that's number one. Second, what we are beginning to see is those conversations beginning to translate into order entry, and that order entry is allowing us to deliver the kind of growth we did in the fourth quarter, probably the first time in a long, long time. We are seeing parts revenue in that business also be pretty steady for us. You know, the caution and conservatism is that we're not seeing significant capital spend. And so, essentially, we are trying to be conservative here in trying to call this as the significant uptick. But the positive order trends in the business give us confidence that this would be a pretty, you know, modest growth period for ATS in 2025.
Mike Halloran: And then just the fourth quarter piece, anything in the fourth order that you felt was an anomaly or is that relatively normal?
Sundaram Nagarajan: Pretty normal. You know? Pretty normal.
Mike Halloran: Yeah. Yeah. And I appreciate that.
Operator: Your next question comes from the line of from Jefferies. Your line is open.
Ben: Hi. Thanks for taking the questions. A couple of small items. You cited the backlog including Atrion at $580 million but could you just help us understand the backlog excluding this acquisition?
Sundaram Nagarajan: Yeah. I think it's Danny, you wanna take that, please?
Daniel Hopgood: Yep. It's Atrion added about $35 million to the backlog. So you know, we'd be in the $550 range excluding.
Ben: Okay.
Sundaram Nagarajan: Ben, if I would add one more thing to your backlog question, I know you didn't ask this, but what I would give you some color around the backlog is remember, the company's recurring revenue continues to expand. Today, it is, you know, north of 55%, more like 57%. And a significant portion of that is book and ship.
Daniel Hopgood: So you gotta
Sundaram Nagarajan: you know, put that into context while you're thinking about the backlog production as well.
Ben: Appreciate that. You mentioned the impact of the Chinese New Year on Q1. I believe you've had historically put this at a $15 million to $20 million sales impact. So would that be similar this year, and does this just get pushed to the second quarter?
Daniel Hopgood: Yeah. I think typically, Ben, in the call it, in the $10 to $20 range. I think, yeah, that's still appropriate. And, yeah, it's just timing between Q1 and Q2.
Ben: Thanks. And just lastly for me, you know, you've talked a lot about entering this year with conservative estimates. You know, what would get you to the higher end of your full-year guidance? Or maybe how do you think about potential upside to guidance in a more positive scenario?
Daniel Hopgood: You want me to take that now? I can. Yeah. That's a great question. And yeah. Look. I think if from the very hopefully, you get some color with you know, we're not trying to call recoveries. Key markets. And what I look at the upper end of our guidance, it would anticipate stronger recovery in some of these end markets. As you think of Precision Ag, as you think of our ATS and Technology businesses, and so I think that's if I were to look at the upper end, it would be, you know, a stronger recovery in the semiconductor and electronics markets. It would be some strong recovery in some of the general industrial and other markets, you know, versus kind of the status quo that we're seeing right now.
Ben: Appreciate that. Thank you so much.
Operator: Your next question comes from the line of Christopher Glynn from Oppenheimer. Line is open.
Christopher Glynn: Yeah. Thanks. No. I think early in the call, you talked about factory efficiency gains. And did you say you have inflecting efficiency gains? Just looking for a little more color on you're calling that out early in the call today.
Sundaram Nagarajan: Yeah. You know, look, this is as we continue to deploy MBS Next and begin to see the impact of NBS Next in our businesses, you're also beginning to see product mix being helpful where when you have higher volume products, we are certainly making them a lot more efficiently than before. So it's a combination, a couple of different things. It is the choice of products, but it is also efficiency of making them in a better way. On-time delivery has significantly improved in all of our businesses. Know, that certainly helps us with efficiency. So a number of different factors, but pretty pleased with the progress we are making.
Christopher Glynn: Great. Thanks. And with Atrium, it looks like the revenue trends are solid and growing if we prorate to a full quarter. Are EBITDA margins back in that high 20s range and then curious what the DNA is now that you've owned it and probably the accounting settled out.
Sundaram Nagarajan: Yeah. Let me maybe give you just some broad color and then Dan can sort of take some of the more financial questions. We're very pleased. We're very pleased with the integration. We're excited for our Atrium employees who have joined and are a big part of our story in the coming year. You know, integration going well. Revenue is progressing as we expected. We are making progress around the synergies that we had operating synergies that we had included in our model. All of that is coming out the way we think. Maybe let, Dan, if you can provide some of those data points that Chris is looking for, that'd be great.
Daniel Hopgood: Yeah. And if you think of, number one, appreciate the question and, yeah, the acquisition is off to a really good start in performing certainly in line or even slightly ahead of early expectations. Right? It's early. But from an EBITDA standpoint, yes, they are absolutely, you know, we're very comfortable in that upper 20% range right now, and we also still feel very comfortable with our path towards more Nordson-like margins. And the two-year integration period. From a DNA standpoint, it's they're DNA is a little bit higher than ours, particularly when you factor in acquisition accounting. And so they'd be a little bit north of us from a percent standpoint on DNA, but not materially. And then, yeah, EBITDA on the upper any core course pretty comfortable, and I'd say two months three three months in now. Even more comfortable with our path towards, you know, sustained margin improvement going forward.
Christopher Glynn: Great. Thank you for that color. If I could get a quick one on ATS, the implementation of MBS Next growth framework helps mix leverage. We just talked about that. I'm curious if the revenue run rate today, which was very healthy in the quarter, includes anything you've kinda treated or you know, minimized in the holistic NBS Next process.
Sundaram Nagarajan: So let me take a couple of things that the team has done an incredible job of strategically repositioning this business. During the downturn. And that is why you see the margin even at the beginning of a cycle. You can begin to see a 27% EBITDA. So well positioned that way. A couple of additional points that I would make that our growth framework, this has allowed the team now to reposition the business. We have a new manufacturing, and this distribution location in India that the team has been working on. That has positioned us really well to address the needs of some of our customers who are trying to have a China plus one manufacturing strategy. So we are well positioned there. The growth from that location will begin to impact in 2025. The second thing that I would tell you, the team has also used this time period to really invest in new products and innovation that will position us in the growth sides of the applications that our customers have, and we are pretty excited about a couple of new products. One or two of them have won some very good industry recognition. And so you know, a number of our strategy beginning to make an impact and our team strategically using this time to really position us for growth.
Christopher Glynn: Thanks, guys.
Operator: Your next question comes from the line of Matt Summerville from DA Davidson. Line is open.
Matt Summerville: Yeah. Thanks. Can you maybe talk about the monthly order cadence you experienced in fiscal first quarter? What you're seeing thus far in fiscal Q1 and any discernible trends you'd call out pre or post the election with respect to order patterns, and then I have a follow-up.
Daniel Hopgood: Yeah. Again, I would say if you look at our guidance it's largely reflective of what we're seeing in the near term. You know, on the ATS side, you know, the four we said we had 4% organic growth in Q4, and I think our order patterns would tell us that that looks pretty sustainable. Yeah. We're not seeing a big uptick from there, but certainly we're seeing ongoing support for that, you know, return to nominal growth. Similar story in our other segments, I would say. Our order patterns support, you know, the guidance that we've given, and I think the one difference year over year that we're coming into now is, you know, we have kind of worked back to a normalized backlog. So yeah. That's certainly a factor year over year. I would say this, you know, we haven't seen any discernible shift post-election. I think it's a bit early. I think, you know, frankly, some of our customers are trying to wait and see a little bit see how things are gonna play out here. And, frankly, I think that some of the uncertainty that we're seeing in our near-term outlook I think that'll settle down certainly as things play out, but I think it's still pretty early innings and people are still trying to figure out yeah. What decisions they should make and what the implications are gonna be, I think. Now I don't know if you wanna add anything further, but that's kinda what we're hearing.
Sundaram Nagarajan: So what I would add is, you know, it's certainly an uncertain macro environment. You know? You see the same things we do. And I think that uncertain market environment is really playing into our conservative approach to what we're taking to the outlook. Look. This could be it could be significantly better, or it could be more challenging than we expect. But in general, we feel like we have taken the appropriate steps to be conservative based on what we see today and based on what we know today. But I'll just remind you a couple of things. You know, the company has a very strong operating model. You know, we have a direct-to-customer model. We have differentiated products. High recurring revenue. Diversified end markets. And MBS Next as a growth framework is beginning to be how we run the company. So if you combine those trends and if you look at the operating excellence, the track record this team has had, you know, if you take all of 2024, and if you look at the EBITDA margin conversion, the incremental margins, that's well north of where we had guided in our investor day. So you know, so if you combine our competitive strengths you combine our ability to operate under any different sets of conditions, you know, gives us confidence that, you know, the environment would be the environment. But Nordson will figure out a way to operate it and do fairly well. And, you know, deliver cash and deliver, you know, strong EBITDA margins.
Matt Summerville: Thanks. Just as a follow-up, based on Dan's commentary, it sounds like you at least expect modest organic growth in ATS in fiscal 2025, if I understood him correctly. Can you maybe just flush out then what your kind of baseline expectation is for organic at the segment level for IPS and MFS? Thank you.
Daniel Hopgood: Yeah. We typically don't I appreciate the question. Yeah. I think we typically don't give specific guidance on each of the segments. Know, but I would say if you look at Q4, yeah, it's maybe a good precursor for what you'd expect going forward. Right? Our IPS business is pretty stable. And even in the medical, you know, we've got some pluses and minuses. But, you know, generally, you know, they're kinda holding serve, I'll call it. And given some of the uncertainty in the minimally invasive space. And so yeah. If you look at it overall, maybe that's the best way to answer your question. If you peel back our guidance, it is it's essentially zero growth organically year over year. With the growth coming from the Atrion acquisition and then a slight offset from FX based on current FX ranges and you know, if you factor in let's call it, you know, low single-digit growth or ongoing growth in ATS, you know, that kinda tells you what the answer is for the other segments.
Matt Summerville: Got it.
Operator: Your next question comes from the line of Jeff Hammond from KeyBanc Capital Markets. Your line is open.
Jeff Hammond: Hi. Good morning, everyone.
Daniel Hopgood: Good morning, Jeff.
Jeff Hammond: So just on backlog, I know backlog, you know, got elevated during COVID, and people kinda, you know, stretched out or, you know, made more orders and, you know, given the lead time issues. But just wondering, you know, if you think this backlog normalization is largely done and what businesses, you know, would have seen the most kinda backlog normalization, you know, over the last year that would maybe set up a little bit of a tough comp?
Sundaram Nagarajan: Yeah. Let me start and then, you know, Dan can add additional. Mostly, it is our system businesses. Large system businesses. I think, you know, even a couple of quarters ago when we continue to talk about this, we continue to see a reduction in backlog from plastic processing. It's one of the large system businesses. And industrial coatings is the other business. And, you know, to some extent, we have large system orders in, you know, one part of our adhesive business. So those would be where we have typically seen order normalization. And it has been ongoing for a year, and you rightly point out.
Jeff Hammond: Okay. And then on polymer processing, is that, you know, is that just a tough comp dynamic? Is that a Europe issue? I think there was a, you know, some recycling activity or something else that's, you know, that's hitting that.
Sundaram Nagarajan: Yeah. A couple of things there. You know, certainly tough comps. Right. Two record years of sales. But you also have reduction in investments in recycling in Europe as well as reduction in investment in virgin polymer production in Asia, particularly China. So this business has been a huge contributor to our growth in the last couple of years. And now, you know, you have the cycle impacting them and, you know, they're gonna be down this year.
Daniel Hopgood: Yeah. I think the other thing just to reiterate backlog normalization, you know, our percentage of, you know, call it book and bill business continues to increase with our, you know, parts versus systems mix. Some of that's acquisition. Some of that's also, you know, what we've been doing organically. And so, you know, we're approaching 60% overall. I think we're at 57% or right around there plus that as far as, you know, parts and services. So that as you're looking historically at the backlog, where I think that's an important thing to consider as well.
Jeff Hammond: Yeah. And then interventional destock, what are your customers telling you in terms of where inventories are, you know, what's kinda built into the guide, you know, for when that kinda, you know, runs its course?
Daniel Hopgood: Yeah. So as I were to put it, like, I would say, you know, it feels like we're kind of middle somewhere in the middle innings as far as working through these supply chain changes. In the interventional businesses, there are product lines in particular. And so, you know, we have some return to normalization but we think that still has a little way to go to play out. And that's kinda how we're thinking about the year. Yeah. This works its way out in another quarter. Or two, and then we kinda get back to normal from there. The only other thing I would point out on that is, yeah, while we I know. But we've mentioned this in a couple of different conversations, we remain very comfortable with the long-term outlook and the prospects for growth in that business. And our pipeline is really what supports that. We still see plenty of project activity, line of sight, to returning to normal growth in our interventional solutions business. We've already seen some of our component medical components, and other areas return to normal growth. So we're very comfortable with the long-term prospects. It's really just trying to pick the exact timing of how this plays out is, I think, what we're continuing to work through with our customers. You know, one thing I would add to that is in our interventional business,
Sundaram Nagarajan: this is an area, again, using NBS Next, our growth framework portfolio approach to how we think about growth. Over the past twelve to eighteen months, we have been investing in additional capacity in new areas of growth where, you know, there were modest positions for us prior to COVID. Post-COVID, and in the last twelve to eighteen months, it's a new product category that we are investing in. And, you know, that will help us as we come out of this stocking situation.
Jeff Hammond: Alright. Thanks.
Operator: Your next question comes from the line of Andrew Buscaglia from BNP. Line is open.
Andrew Buscaglia: Good morning, everyone.
Sundaram Nagarajan: Good morning, Andrew.
Andrew Buscaglia: Hey. So just back to the full-year outlook, so you're assuming, you know, no let's call it no or very low organic growth at the midpoint, but EPS at the midpoint is still up. And I guess my confusion is MFS probably margins are flatter down just given you have some dilution with the acquisition. ATS probably up because of if it grows, then you got a cost taking cost out. So you have to assume some decent margin expansion, IPS, despite what you're what's implied to be probably a down or a flatter down, probably down organic growth year. So how I guess, are you is there additional cost cutting coming, or what how are you getting to such margin expansion, I guess, to get to the midpoint of that EPS?
Daniel Hopgood: Yeah. No. It's a great question. And here's what I would tell you. I mean, if you look at our sales guidance and kinda take a normal incremental, I would say, keep in mind that part of our MBS Next is continuing to run the company better and we've also made some taken some actions in the form of restructuring to improve the cost base of the business going forward. And so, you know, you're gonna get some additional performance from an incremental standpoint year over year from those actions. In addition, you know, keep in mind, we're starting the year with our debt at a high point. And as we delever throughout the year, which we've typically continued to do, that will also create leverage as the year plays out. And then you factor in the last item, which is a year-over-year improvement in our tax rate as we mentioned in the call. I think those three factors are kinda what drives that conversion.
Andrew Buscaglia: Okay. And then
Daniel Hopgood: Yeah. MSS too. You know, just maybe touching on that. The margins there, it seems like things are going well as of now, but yeah. We probably do see margins decline or do we see that, I don't know, these costs, you know, the cost savings and that side of things taking hold this year or mid-year to get to some margin expansion in the back half.
Andrew Buscaglia: You talking specific to the MFS business?
Daniel Hopgood: To the MFS? Yeah. Just MFS.
Andrew Buscaglia: Okay. Okay. And really I think you're asking about Atrium, I assume. Right?
Sundaram Nagarajan: Yeah. Because it'll be it seems to be
Daniel Hopgood: diluted, but not maybe not as much as we initially thought. Yeah. It's not you know, as I said, I think they're, you know, I think in a good path in the upper 20% range on EBITDA below our current, but to your point, not significantly diluted. And, you know, our model factored in improvements in the first one to two years. And I think we're, you know, largely on track with that.
Andrew Buscaglia: Yeah. Okay.
Sundaram Nagarajan: You know, Andrew, what I would add is integration going well. We made adjustments in cost structures early and but Dan what Dan is indicating to you for you is that our model calls for us over the next year to two is when we, you know, completely opt, you know, deliver on the synergies that we committed to. But we're off to a very good start. And margins in, you know, MFS are called in pretty nicely.
Andrew Buscaglia: Yeah. Okay. Alright. Thank you, guys.
Operator: Your next question comes from the line of Walt Liptak from Seaport. Your line is open.
Walt Liptak: Hi. Thanks, guys. Good morning.
Daniel Hopgood: Morning, Walt.
Walt Liptak: Good morning. I'm gonna try one about, you know, kind of orders and, you know, that comment that you made about, you know, not calling recoveries in the high end, you know, with some recovery. So, you know, what we've seen from some other industrial companies that have exposure to, you know, kind of medical and semi-con, is that they get, you know, sort of blanket orders or early orders in the year. Like, at what point will we know that, you know, that there's not the recovery happening? Do you find it in the December quarter, the quarter that we're in, or is it in the first quarter? And how important do you think, you know, for those larger systems are, you know, sort of early year orders that you, you know, deliver later on in the year.
Daniel Hopgood: Yeah. I think maybe I'll take this. It's great. Again, maybe what I'll start with is what we're seeing now supports our current outlook. And I think the answer to your question is as Q1 and Q2 play out, I think we'll have, you know, a much better viewpoint on how the second half is gonna play out. Yeah. It's interesting. There are a lot of discussions that are going on, but there's also a lot of hesitance. And so that's generally, you know, kind of back to the earlier comments. I think that's what we're generally seeing is just some uncertainty and a lot of plans, but those plans, you know, today are translated into, I'll say, guarded investments. And that's kinda what we're seeing in the near term. And I think as Q1 and Q2 play out, we'll have a much better viewpoint. And, you know, what this, like, looks like for the year.
Walt Liptak: Okay. Great. And
Sundaram Nagarajan: hey. So, Walt, before he asks to follow on, let me just add one thing. Look. This is based on what we know today. And should something change, like you're, you know, suggesting might be or asking, you know, we will adjust. And particularly in the IPS area where large system orders are, you know, is one of the areas of concern.
Walt Liptak: But ATS, though,
Sundaram Nagarajan: the current order entry, the momentum that we see there, you know, clearly supports the kind of growth rate that we delivered in the fourth quarter. So
Walt Liptak: okay. Great.
Daniel Hopgood: Okay. So the next question would be as we're talking about the hesitancy, you know, the interest rates, you know, have been coming down. Right? The election is over. And then are we talking about sort of the tariff issue and that's causing the uncertainty in the headwind? Is that is that where those comments are coming from, or is it something else?
Sundaram Nagarajan: Well, you know, look, nobody, obviously, is telling us or describing why they're hesitant. All we are, you know, what we can presume, you know, certainly that may have some impact in their thinking. But, you know, Walt, it will be difficult for us to tell you exactly why some of our customers have it. And all we can say is they're talking about projects, but there is a certain amount of hesitancy. You know, there is going to be change in EV battery investments. There's gonna be change in maybe solar. Who knows? Right? I mean, there's lots the macro environment is different, and certainly leads to some level of uncertainty. And that manifests itself as hesitancy in our customers. You know, the geopolitical environment is not all that great. It's not a stable environment to be in right now. So
Walt Liptak: Yes. Absolutely. So then maybe a last one for me is, you know, thanks for pointing out the ATS EBITDA margins being really nice on sort of the bottom-ish part of the cycle. Where do you think you can get the, you know, like, in a normalized market, you know, a couple two, three years from now, where do you think ATS margins go? Or maybe another way to look at it, where do you think the operating leverage will be as, you know, the revenue improves?
Sundaram Nagarajan: Yeah. I think it's really important to remember, our ATS business at 27% EBITDA is probably a best in class among our peers. Right? And it is an area where it requires a lot more investment in new products and technologies than any of our other businesses. We typically invest 14% to 15% of revenues in this area, and you have to stay ahead of the competition. But more importantly, to be able to fully support your customers' needs about investing in technology as they bring out new. So, you know, 27% EBITDA is a great place for us to be. We're looking to grow here. So any opportunity we can get to grow, we want to continue to grow this business rather than expand margin. If you look at the total company, well, you've seen this story for us. You know, we were in the 27%, 26% EBITDA margin, 31%, 32% ZIP code. Look. You know, you're gonna be a lot more happier as we continue to grow the top line of the company at strong incrementals rather than, you know, focused on EBITDA margins. And I'd take the same comment for the company and apply it to ATS. Right? Really like 27%. We want to continue to grow the business.
Walt Liptak: Okay. Great. Thank you very much.
Operator: And we have reached the end of our question and answer session. I will now turn the call back over to Naga for some final closing remarks.
Sundaram Nagarajan: Thank you for your time and attention on today's call. We're making great progress on the Ascend strategy. Yeah. Positioned really well. As we enter fiscal 2025, I wish you a happy holiday season.
Operator: This concludes today's conference call. Thank you for your participation. You may now disconnect.